Operator: Good morning, ladies and gentlemen and welcome to the UVE Fourth Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session.  As a reminder, this conference call is being recorded. I would now like to turn the conference over to Rob Luther, Vice President of Corporate Development and Strategy and Investor Relations.
Rob Luther: Thank you and good morning everyone. Welcome to our discussion on our fourth quarter 2021 earnings results, which are reported yesterday. On the call with me today is Steve Donaghy, Chief Executive Officer and Frank Wilcox, Chief Financial Officer. Before we begin, please note today’s discussion may contain forward-looking statements and non-GAAP financial measures. Forward-looking statements involve assumptions, risks and uncertainties that could cause actual results to differ materially from those statements. For more information, please see the press release and UVE’s SEC filings all of which are available on the Investors section of our website at universalinsuranceholdings.com and on the SEC’s website. A reconciliation of non-GAAP financial measures to comparable GAAP measures is included in the press release. With that, Steve, I will turn it over to you.
Steve Donaghy: Thank you, Rob. We ended the year with a record of approximately $1.7 billion of premiums in force and a return on average equity of 4.6%. Despite the accelerated inflationary trends, we announced on February 10, which resulted in the company increasing its reserves. Additionally, Clovered.com, our digital agency subsidiary surpassed $40 million in place premiums during 2021. The lion’s share of our approved rate filings for UPCIC in Florida over the past several quarters is now effective as of the fourth quarter of 2021. We continue to sharpen our pencils on our 2022 Florida primary rate filing in the coming months and are hitting the ground running on our reinsurance renewal, with over 77% of capacity on our first event All States tower already secured. We look forward to continuing to focus on resiliency through this cycle and are monitoring closely the actions in the Florida Legislature in regards to several bills, including SB1728, SB1402, and SB186, amongst others. So with that, let me now turn it over to Frank to walk through our financial results. Frank?
Frank Wilcox: Thank you, Steve. As a reminder, discussions today on adjusted operating income and adjusted EPS are on a non-GAAP basis and exclude effects from unrealized and realized gains and losses on investments and extraordinary reinstatement premiums and related commissions. Adjusted operating income also excludes interest expense. We ended 2021 with total revenue up 7.2% to $292.7 million for the quarter and 4.6% to $1.1 billion for the year driven primarily by growth in net premiums earned from primary rate increases partially offset primarily by lower policies in force and lower realized gains on the investment portfolio and increased reinsurance costs. EPS for the quarter was a loss of $1.54 on a GAAP basis, a loss of $1.53 on a non-GAAP adjusted basis. For the year, we generated EPS of $0.65 on a GAAP basis and $0.61 on a non-GAAP adjusted basis. Results for the quarter and the year benefited from continued primary rate increases earning in, but were predominantly impacted by strengthening of reserves due to inflationary trends and a reduction in realized gains on the investment portfolio when compared to the prior year period. Moving on to underwriting, our direct premiums earned grew by 11.5% to $417.8 million for the quarter and 14.4% to $1.6 billion for the year led by primary rate increases in Florida and other states. Policies in force declined 4.2% as a result of continuing to shape our underwriting risks. On the expense side, the combined ratio increased 7.4 points for the quarter to 131.4% driven primarily by strengthening reserves for the full accident year 2021 as a result of inflationary pressures and increased reinsurance costs impact on the ratio. For the full year, the combined ratio improved 8.1 points to 105.5% as a result of primary rate increases, weather events being more in line with plan, lower net prior year’s adverse reserve development in 2021 when compared to 2020 and continued business expense management. For the year, the expense ratio improved 1.2 points on a direct premium earned basis due to business expense management including a reduction in agent commissions, advertising, and lower executive compensation as well as primary rate increase impact on the ratio. Net investment income increased 37.9% for the quarter primarily due to higher levels of invested assets. For the full year, net investment income decreased 38.5% as well as a significant decline in realized gains for the quarter and full year. As explained previously, the declines are the result of the sale and subsequent reinvestment at lower yields of a majority of securities in the portfolio that were in an unrealized gain position in the third and fourth quarters of 2020 to recognize the fair value benefits in surplus. Unrealized losses for the quarter and for the full year were driven by market fluctuations in invested assets, resulting in an unfavorable outcome for the quarter and full year. In regards to capital deployment during 2021, the company repurchased approximately 117,000 shares at an aggregate cost of $1.6 million. For 2022 guidance, we expect a GAAP and non-GAAP adjusted EPS range of $1.80 to $2.20, assuming no extraordinary weather events in 2022 and a return on average equity of between 12.5% to 15%. The guidance assumes no extraordinary weather events in 2022 and also assumes a flat equity market for GAAP EPS. If weather events exceed plan, we expect to see both the benefit from our claims adjusting business and increased loss costs. With that, I’d like to ask the operator to now open the line for questions.
Operator:  Our first question comes to the line of Tom Shimp from Piper Sandler. Your line is now open.
Tom Shimp: Hi, good morning, guys.
Steve Donaghy: Good morning, Tom.
Tom Shimp: So, we have got inflation of building materials and labor, that doesn’t seem to be slowing down. So, what rate changes do you guys think you need in 2022 to get to rate adequacy? And in addition to that, maybe you can walk us through how we should be thinking about the cadence of the rate increases, you have already gotten how that should earn in over the next year or so?
Steve Donaghy: Yes, thanks, Tom. Thus far, we had a 14.9% file that was right and approved in May of 2021. And then we had an additional 3% and change reinsurance special filing in Q4. Those are both active and will be flowing through the book in 2022. So, we see that as a considerable enhancement in our effort to become rate adequate in the state of Florida in particular. We also had additional rate that we took in several other states across the country in the high double-digits as well. So we are doing everything we can across the portfolio to increase our position. I think from a inflation perspective as we stated in our press release on February 10, we are taking the necessary steps to ensure we have the appropriate reserves going forward along with the right efforts to continue to focus on what we need. As you know, rate is about a 12-month delay, so our actuaries and actuarial firm are looking at what has transpired since our rate request in 2021 and we are focused on that and we will probably file additional rate in May of 2022. So, we don’t see a – we don’t see any signs that it will not be another considerable rate increase in the state of Florida as the market is quite hard as you are aware.
Tom Shimp: Okay. Great. So, you guys have been increasingly conservative with your loss specs, maybe you can remind us the history of your underlying loss assumptions the past few years. And maybe some thoughts on how we should be thinking about those underlying assumptions that are embedded in your guidance for ‘22?
Steve Donaghy: Yes. I think if you look back 4 years or 5 years Tom, our rates were in the – our loss specs were in the 30s. Last year in 2021, we went out at a 42% rate. And we felt good about it, because of all the additional premium. And we expected, as you know, we were cautiously optimistic on SB76. And we have seen some benefits from that legislation. We did increase our last PIF in 2021, two points during the year, and then the additional inflationary changes at the end of the year. So, as we go into 2022, our last PIF will be in the mid-40s again, and we see the added premium at the top line growing considerably. So, in an effort to become adequate, and help the organization we think these are the right things to be doing in 2022.
Tom Shimp: Okay, great. So, thinking about the PIF count, it looks like you had an acceleration and decline in Florida PIF, obviously not anything new for Florida writers, but does seem to be accelerating for Universal. So, maybe you could just give us your thoughts and how you are thinking about Florida in regards to policy count for the next year?
Steve Donaghy: Tom, we expect – we are still open and in multiple territories and counties across the State of Florida, where we feel we are at great adequacy. Tri County and other areas, we are reducing our PIFs and our TIV, which again achieves a very good spread of business for us, which we in the past we struggled to do. So, I think from a balance perspective, we feel good about it. And we are closed in markets where we had bad experience, and continue to take rate in those markets. So, I think from a Florida perspective, you will see a – maybe a 3%, 4% drop in 2022. But again, the premium that we are taking will continue to increase the top line, as we like to call that positive premium within our organization, so that we see that increase in premium in spite of a reduction in policy count.
Tom Shimp: Okay. Moving to the expense ratio, that was down sharply was it – you talked about some of that in the prepared remarks, just decreasing general expenses. But was some of that also a function of variable comp? So, any thoughts on how we should think about the sustainable expense ratio going forward?
Frank Wilcox: Good morning, Tom. Yes, you are correct, both in 2020 and 2021, there was a pullback on the variable compensation, particularly executive compensation. We also experienced lower spend, while we work remotely. We do expect some of that to resume in 2022. We are kind of looking at a range of expense ratios somewhere in the 32%-ish, 33%, going forward. Taking into consideration the possibility for inflation, having an influence there, it’s much slower, inflation is much slower to affect G&A, because two-thirds of that spend is acquisition costs related, which is based upon fixed contracts or fixed statutory rates. And then out of the remaining – two-thirds of the remaining is employee related costs. So, that’s also much slower to be impacted by inflation. Then you have third-parties who are immediately passing those costs on to you.
Tom Shimp: Okay. So, I noticed total insured value in Florida was up about 5.5% year-over-year. I know PIF count is down, but Florida real estate values are up well into the double-digits. So, could you walk us through the drivers of the net 5.5% increase year-over-year?
Steve Donaghy: Yes. Tom, the data that we subscribe to in our – the way we model and price the policies, we have an inflation guard factor in there as well, which of course is impacted. When you have people at the Fed talking about inflation no longer being transitory and being permanent or stagnant, so to say, those items affect how we issue a policy renewal. And if the policy renewal goes up by 40 or 50 grand, it’s not a dollar-for-dollar translation into premium, but there is certainly an impact to the premium that we charge, in addition to the rate increases, as we pass that along to the consumers. Does that make sense?
Tom Shimp: Yes. And then, lastly, I was hoping we could just go to the insurance reform discussion, so it seems like there is a growing political will to pass something more meaningful than what’s been passed previously, even though that like you said, it has positive impacts. But what are your thoughts there, you guys are close to it. And so I really appreciate your thoughts there and is this the year where we finally get the reform that’s really necessary to write the ship in Florida?
Steve Donaghy: Yes, it’s a good question, Tom. And we constantly have conversations with our attorneys and others in in Tallahassee. Thus far, the ideas that seem to have been discussed the most this year are not comprehensive solutions that address the root cause of deterioration in our market. We have written about this in the 10-K. It’s been widely discussed elsewhere, the concerns in the Florida market trace back to an imbalance of incentives that have led to a proliferation of represented and litigate claims. To make significant strides in alleviating the current market conditions, we have to address the situation. We haven’t seen anything in the current situation that would do that. And we still have two weeks left in the legislation period. And we are hopeful that something can happen, but we are not overly optimistic at this point.
Tom Shimp: Okay, that’s all I had. Thank you for your answers.
Steve Donaghy: Thanks Tom. Have a good day.
Tom Shimp: You too.
Operator: Thank you. At this time, I am showing no further questions. I would like to turn the call back over to Steve Donaghy, Chief Executive Officer for closing remarks.
Steve Donaghy: In closing, I would like to thank all of our associates, consumers, our agency force, and our stakeholders for their continued support of Universal. I wish you all a great weekend. Thank you.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.